Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Penn National Gaming Second Quarter Results Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. I would now like to turn the conference over to Joe Jaffoni, Investor Relations. Please go ahead, sir.
Joseph Jaffoni - Founder, JCIR: Thanks, Charlene. Good morning, everyone; and thank you for joining Penn National Gaming's 2015 second quarter conference call. We'll get to management's presentation and comments momentarily as well as your questions-and-answers, but first I'll review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties. These statements can be identified by the use of forward-looking terminologies such as expects, believes, estimates, projects, intends, plans, seeks, may, will, should or anticipates or the negative or other variations of these or similar words or by discussions of future events, strategies, or risks and uncertainties, including future plans, strategies, performance, developments, acquisitions, capital expenditures and operating results. Such forward-looking statements reflect the company's current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and in the company's filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and Form 10-Q. Penn National Gaming assumes no obligation to publicly update or revise any forward-looking statements. Today's call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G. And when required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release as well as in the company's website. It's now my pleasure to turn the call over to the company's CEO, Tim Wilmott. Tim?
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thank you, Joe; and good morning to everyone and welcome to our second quarter 2015 earnings conference call. I certainly would characterize our second quarter as eventful for the company on a number of different fronts. First, as you saw in our announcement this morning, we exceeded our previous guidance from a performance standpoint on all financial metrics with some very solid results. You'll hear more about trends in our business from our COO, Jay Snowden, after I'm done with my comments, but that was certainly a very positive quarter for us in terms of delivering the performance that we guided to and then some. We also announced the purchase of Tropicana Las Vegas for $360 million. And I'm pleased to report that we're making good progress on the regulatory front and we expect to close on that transaction in the late-third-quarter/early-fourth-quarter of this year. Late in the quarter, we opened the first casino property in the Commonwealth of Massachusetts, Plainridge Park, which opened on June 24th. We also had the topping out of Hollywood Casino Jamul-San Diego in the quarter and we continued to expect that property to open in mid-2016. And finally, we made great progress in advancing our efforts in the digital gaming space. We announced a deal with Scientific Games to introduce some social gaming offerings to our customers at four properties. In fact, we're going to be launching in West Virginia next week with our customers at our Charles Town facility. We also have begun staffing up Chris's area to take advantage of what we see as opportunities in the social fantasy sports, and down the road, commercial online gaming opportunities. We certainly will have more news about our efforts in this new and exciting distribution channel as we progress in the next couple of quarters. We have Chris here as well in the room today to answer any questions you may have on that front. But, certainly an eventful second quarter. We're excited about the prospects for the balance of the year. After Jay says some comments about what we're seeing in our business and some early Plainridge Park perspective, Saul Reibstein, our CFO, will talk a little bit more about our thoughts around the balance of the year guidance and give you certain financial statistics as we close the second quarter. But with my comments over, I'd like to turn it over to Jay.
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Thanks, Tim; and good morning to all of you joining us this morning. Happy to report that the service-profit chain model is certainly alive and well at Penn National Gaming. In the second quarter we saw all but two of our properties improve their customer service scores on a year-over-year basis, and 90% of our properties also delivered year-over-year improvements in their employee engagement results. All but one property in the quarter exceeded budget this year versus what we had established at the beginning of the year. So I want to start my comments with a big thank you and congratulations to what is no doubt the most talented group of property operators in the casino business. Some specific highlights in the second quarter: We opened Plainridge Park Casino, as Tim mentioned, in Massachusetts to some very strong volumes and positive guest feedback on June 24. We experienced continued positive trends in our newer properties in markets like Ohio and Kansas, both on the revenue growth front as well as acquiring additional customers into our database. Property level EBITDAR margins in the second quarter were up year-over-year despite significant increase in pre-opening expense associated with our opening in Massachusetts. And for the first time in years, we experienced three solid months in the quarter as opposed to one or two solid months. Our digital marketing efforts continued. We increased our e-mail capture rate by over 23% over the last six months, which is a key initiative, as I've mentioned previously, to look to further reduce our property level marketing costs while simultaneously improving the overall guest experience. Our database trend showed sequential growth from Q1 to Q2 on a year-over-year basis. Spend per visit and visitation at the majority of our properties was a very good story. We continued our hard push and concerted effort to drive incremental rated play in order to further cultivate relationships and drive loyalty with, what are today, unrated customers. This is critical as we prepare to launch our social gaming activities that Tim mentioned at the beginning, and also as we look to deploy a hub-and-spoke model in Las Vegas upon the closing of Tropicana, both of which are happening here in the coming months. As we get into July, some additional highlights specific to Plainridge Park Casino, we've enrolled over 60,000 new members to the Marquee Rewards database in just the first 3.5 weeks of operation. We captured three quarters of those folks with valid e-mail addresses which helps in our digital efforts. We've been very happy with the response rate – response, excuse me, across all geographic and worth segments, certainly those that we targeted at the onset. The weekday performance has been very strong out of the gate and weekends we believe will continue to ramp as the property builds on the marketing efforts that will take hold in August, September and beyond. More broadly, across the company, our year-over-year trends in July have been consistent to-date with what we experienced in Q2, which is encouraging, no doubt benefiting from an improving economy. Gas prices are still down some $0.90 to $1 or 30% year-over-year and less cannibalization in some of our key markets versus prior years. We continue to work to the integration planning with Tropicana Las Vegas and are very excited to take ownership very soon. And I would just summarize by saying we're encouraged by the property results in the second quarter and we're very excited about our prospects for growth, both bricks and mortar, as well as our online capabilities in Q3 and beyond. So with that, I'll turn it over to Saul to talk through guidance.
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: Thanks, Jay. Good morning, everyone. Driven by a strong second quarter performance we once again considered guidance for the remainder of the year. Unlike recent quarters, overall trends are encouraging and continue to move in the right direction; inflation remains contained, employment trends are positive, consumer confidence continues to move upward and the Fed recently again allowed interest rates to remain unchanged. The U.S. economy remains steady. (08:52) their willingness to visit our properties and spend as evidenced by the firming of our revenues in each of our operating segments. Accordingly, we have once again performed a thorough property-by-property operating review and have revised net revenue, EBITDAR and EBITDA guidance for the year to $2.786 billion, $754.5 million and $319.1 million, respectively; all of which considers actual results through June 30, 2015. Page six of our press release provides current estimates for corporate overhead, rent, interest, non-cash stock compensation, depreciation and amortization. In addition, some of our other key data points are cash on hand at June 30, 2015, of $233.1 million. All of our debt covenant ratios have been comfortably met. Project CapEx inclusive of our Jamul Indian Village project for 2015 is estimated at $361 million with $151 million in the third quarter. Maintenance CapEx for 2015 is estimated at $75 million with $25 million to be expended in the third quarter. Pre-opening cost for the year of $12.3 million include higher than expected regulatory costs and more expensive marketing costs. Our GAAP basis effective tax rate for the balance of 2015 is currently estimated at 42%. And finally, free cash flow before project CapEx and principal payments of $192 million for the year. As you've heard in the updates from Tim and Jay, our pending acquisition of the Tropicana Las Vegas, the previously announced expansion of our banking relationship and arrangement is in place to add between $270 million and $300 million of additional availability for that closing. In addition, we continue to explore other financing options for phase two work at the Tropicana and direct financing alternatives for the Jamul development in San Diego as well. And with that overview, we can open for your questions.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thank you, Saul.
Operator: Our first question comes from the line of Carlo Santarelli with Deutsche Bank. Please proceed with your question.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey. Good morning, everyone; and thank you for taking my questions. My first question is more – Jay, maybe, if you could, address a little bit with the strength that you've seen obviously in the 2Q through your customer. If you could, talk a little bit about maybe the mix between visitation and/or spend per visitor and maybe some of the cross-segments where you're seeing it within your database. And then also, if I just look at the guidance raise from the 2Q – sorry, from the 1Q guidance to what you've now provided in the 2Q, it appears as though the flow-through assumption being made on the incremental EBITDA is somewhere in the 20% range. Does that seem a bit conservative or is there something there that we're missing maybe as the Massachusetts property ramps and you're just kind of buffering for that?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Good morning, Carlo. This is Jay. I'll tackle the first and comment on the second, and Saul or Tim can certainly chime in. As I mentioned in the comments at the beginning, spend per visit really is a good story, virtually across the board, and you've certainly seen that in the revenue figures that have been reported across most states over the last quarter. Visitation is a little bit more of a mixed bag, though, I would say the majority of our properties are actually enjoying improved results from a visitation perspective year-over-year. And as you look at the worth segments of the database, it's consistent with what we've seen over the previous years where the strength is really starts at the top. Our highest worth customers, we're seeing growth in spend per visit and visitation across the board. You get to the mid-tier segments and we're seeing growth from a spend per visit across the board and virtually all of the properties visitation as well. And the lower worth segments, though the trends continue to improve, are not as strong as they are at the higher worth segments; spend per visit's good, visitation, a little bit of a mixed bag. So overall, we're pleased with the momentum we have in the business across all the geographies and the worth segments, still softest at the low-end, but certainly improved from where it's been. And then your question on flow-through for the third quarter, it's exactly right, we're continuing to...
Carlo Santarelli - Deutsche Bank Securities, Inc.: Sorry, Jay. I was referring more to the full year, but third quarter, I think the story is pretty similar. I was referring more to the full year from your prior guidance to your current guidance and looking at, kind of, the incremental EBITDA you've lifted versus the $50 million revenue improvement.
Jay A. Snowden - Chief Operating Officer & Executive Vice President: It's largely a factor of Massachusetts as we continue to ramp that business and we're going to remain very aggressive in our driving trial and advertising, both in Boston and Providence markets. So that has an impact on the margins, but we think it's the right thing for the long-term health of that business.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Carlo, this is Tim. Yeah, we have been watching very closely what's going on in Massachusetts and now believe we're going to have a three-year head start on any new competition there and we want to make sure for the first couple of quarters we are very aggressive with our acquisition and trial activities and enjoy a good three-plus-year run without any competition. So, that's the reason more than anything else for the metrics about the guidance in the flow-through.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thanks, Jay. Thanks, Tim.
Operator: Our next question comes from the line of Joseph Greff with JPMorgan. Please proceed.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, guys. Congratulations on nice results here.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thanks, Joe.
Joseph R. Greff - JPMorgan Securities LLC: Two questions. One is similarly on the guidance here. When you're looking at the back half of this year, can you talk about what generally your same-store assumptions are; and maybe you can sort of look at it in relation to the same-store trends that you saw more recently in the 2Q? And then my second question relates to Jamul, that $30 million increase in the budget. Can you talk about what that relates to, what's driving that? And do you think the property can get incremental EBITDA on that incremental level of investment? Thanks.
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Joe, this is Jay. Really with regards to our anticipation of same-store sales for the second half of the year, we're somewhere between what we experienced in Q1 and what we experienced in Q2. If the trends that we've experienced in Q2 and we've seen so far in July continued through the remainder of the year, then I think our guidance is conservative. But, we also want to go into the remainder of the year. There are still unknowns out there. And three months I don't think completely makes a new trend, but we're certainly feeling better today than we have in the last few years is what we're seeing out across most all of our properties. But, that's the thought process in our guidance.
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: Joe, I would just point out a couple of other factors in that estimate. Seasonality comes into play in the fourth quarter. Seasonality impact margins, I anticipate, to be not as good as the first-half. We do have a little bit of rent escalation in the fourth quarter. And the continued stock comp, cash-settled stock awards impact as well. So, there are little pieces that if you add them all, they do have an impact.
Timothy J. Wilmott - President, Chief Executive Officer & Director: One of the things, Joe; we had a, just to remind everyone, we had a very mild December of 2014.
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: Right.
Timothy J. Wilmott - President, Chief Executive Officer & Director: We're assuming a more normal December winter-wise. So, that all goes into our thought process. With respect, Joe, to your second question on the incremental $30 million out of Jamul, I'd like our Chief Development Officer BJ Fair to give you some further perspective of what drove that number up.
William J. Fair - Chief Development Officer & Executive Vice Preside: Good morning, Joe. We've increased the project cost to really reflect the current trends that we're seeing in the project right now. It's a combination of the increased facility costs as a result of the bid-out or the buy-out that we've been seeing from the very complicated subterranean structure in the facility construction that we've got as we continue to move forward. We've also had extraordinary offsite costs that we've been seeing in the project as well, which is the environmental and administrative support for the Caltrans environmental work for State Road 94. We've had some increased offsite infrastructure cost to be able to provide some of the basic infrastructure to the site as well, as well as ongoing legal administrative cost as well. So it's been, kind of, across the board. We've recently also been updating, kind of, our overall market assumptions. We are out there as we took a look at some refinancing. And I think we're very comfortable with what we're seeing there as well.
Jay A. Snowden - Chief Operating Officer & Executive Vice President: But to net your question out, Joe, the stuff that we just described really from a programmatic standpoint hasn't really changed what the customer is going to see when we open the facility. So, we're not expecting any of this spend to have any incremental effect on EBITDA.
Joseph R. Greff - JPMorgan Securities LLC: Thank you.
Operator: Our next question comes from the line of Joel Simkins with Credit Suisse. Please proceed.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Yeah. Good morning, guys. Just a couple of follow-ups here on Jamul as well. I recall, obviously, both of you guys had some familiarity with the southern California market during your time at Harrah's. I know there were some pretty successful casinos back in the heyday of the, kind of, the mid-2000s. So with that in mind, can you give us a bit of the lay of the land from a competitive perspective? And I guess obviously lot of those – all of those travel casinos are private, but where do you think GGR is in the Southern California market today versus the peak? And do you feel like there's a pretty good economic backdrop currently in that market?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Joel, this is Jay. I'll take a stab at that, and others may chime in. San Diego market I think has continued to show some nice growth at least from our information from intel at other properties in that market. It's really divided up into two markets. You have North County, San Diego which would be the Pechanga, Pala, Harrah's Rincon; Southern California, Valley View; and then you have the Southeast County market, which is where we're going to be competing against the likes of Barona, to a lesser extent, given the distance between the two properties, Viejas. So we think our primary competitor will be the Sycuan Casino, which is just a few miles away, but further to the east. So we believe that our access and proximity to some pretty significant population centers in downtown San Diego, certainly National City, Chula Vista, Lemon Grove are pretty significant. We will be the closest casino to those populations. And sizing the market, I think you're looking at – those three facilities will be competing against mostly in the range of $180 million to low-$300 million each. So we think that we'll be somewhere towards the low-end of that early on and continue to ramp that business after we open and start to stabilize.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): That's very helpful.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Joel...
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Yep, go ahead.
Timothy J. Wilmott - President, Chief Executive Officer & Director: I would just add what has gotten us excited since the inception of our interests with this project is the fact that it's one road out from downtown San Diego and it's 10 minutes to 15 minutes closer to that population in a much more customer-friendly travel time. So, that continues to be something that keeps us very enthusiastic about this project. And we can't wait for the summer 2016 to get that project opened to the customers there.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): I'm equally as enthusiastic. And one quick question for you on kind of the Texas market. But, obviously, some of the casinos that are relying upon Lake Charles have held up a bit better than expected. You're relying on sort of the western side of Texas for Zia Park. Can you just give us a little bit of color on how that property has shaped up in this kind of lower energy price environment?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Sure, Joel. I would summarize by saying we're still seeing nice growth at the property since we opened the hotel, but it's not to the same extent that we had built into our internal forecast because the first two months, three months that hotel opened, if you recall, it was late-August of 2014, and before the gas prices started to drop, we had very strong performance in the third quarter from Zia Park and it has fallen off, starting really in that November-December timeframe. It's continued to get better as we ramp the hotel and drive second trips and third trips with our customers there, but there is no doubt there has been some impact. So, again, it's versus our internal expectations with the new hotel, maybe not driving the revenues that we anticipated due to the local economy, but if you're looking just on a year-over-year basis, we're seeing nice revenue growth and flow-through.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Thanks. That's helpful. Thanks, guys.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thanks, Joel.
Operator: Our next question comes from the line of Felicia Hendrix with Barclays. Please proceed.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Good morning. If I could back to Plainridge for a moment, you guys talked about your customer acquisition efforts. That was helpful. Just looking at it from a different angle, just wondering and I realize it's still early days, but as your management team has been going up the learning curve there, just wondering what their takeaways have been in terms of cost efficiencies; anything that they think might help drive margin there as they're understanding the customer demand?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Sure, Felicia. I think – listen, it is early, and I would certainly preface any comments with we've been open for a few weeks. So it's very difficult to extrapolate anything from those first two weeks. We typically wait four months or five months to see where the business really settles in. On the cost side, there really haven't been any surprises. It's a high tax rate environment which we're accustomed to in many of our markets at 49%. But labor costs are low because you don't have table game operation. We have a few restaurants and slot offerings and a horse racing offering as well. Marketing is where we're spending the lion's share of the dollars. And that was always in our plan. We want to be aggressive. We want to drive awareness and trial and we're going to continue to do that certainly through the remainder of the year. And we'll continue to assess whether or not that's the right strategy if we want to be more aggressive, less aggressive between now and then. But, that's how I would summarize.
Timothy J. Wilmott - President, Chief Executive Officer & Director: The only thing I'll add to that – Felicia, this is Tim. Early on we have seen stronger than expected demand for video poker product. So we're adding some more video poker to the floor. And we also have seen very good acceptance from our high limit area, and we're taking a look at opportunities to enlarge that and put more product in our high limit which is obviously a good problem to have. But those are some of the early feedback we're getting from the team up there in Massachusetts about what we need to do to improve the product offering and start to stabilize our costs.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Great. And then I believe that in the RFP documents your analysis called for a $550 win per unit per day. Again, acknowledging that it's early, how does that initial forecast look as you extrapolate out to, kind of, a normalized run rate?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Yeah, it's still early, Felicia. Obviously, we exceeded that in the first week of results that were released for the one week we were open in June. And July, Fourth of July weekend we exceeded that. Business is settling in now, but our marketing efforts have not kicked in. So it's very difficult to say. I think in that range is probably a decent expectation. But it's early. We'll see what it looks like in month five, month six and go from there.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Great. Thanks. And then if I could just quickly move on to Tropicana, you discussed in your release your two-phase plan for the property. I was just wondering can you just help us think through your projected EBITDA ramp at that property. How long do you think it might take to get to that sub-10 times enterprise to EBITDA multiple that you've talked about? And then I'm also just wondering as your current marquee customers get word of this acquisition, what's been their reaction.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Well in terms of the ramp-up we've told people that we think it's going to take three years or four years to fully take advantage of all the efficiencies of taking cost out of the operation and managing that property in conjunction with M Resort, and then also realizing the full potential of our 3 million active customers in our database. So three years to four years is the horizon. We expect to realize the appreciation of EBITDA to the level you described. Jay, why don't you – if we do have any early feedback from our customers about Tropicana? I have not asked you that question myself.
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Only excitements. It's a name that people are familiar with. And we've been asked from our particularly our high-end customers for years if we were ever going to have a direct connection with a Las Vegas Strip business. And so, we're already receiving a lot of inquiries with regard to visitation to that facility post-close. But, we're going to – we've got a lot of work to do certainly in the first six months to nine months to integrate all of our systems and we're not going to be wholesale inviting our customers to that property until everything is seamless in linking up the regional property Marquee Rewards to Tropicana Las Vegas. So, we'll take our time and make sure when the guests show up, they have a great experience.
Felicia Hendrix - Barclays Capital, Inc.: Great. Thank you so much.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thanks, Felicia.
Operator: Our next question comes from the line of Thomas Allen with Morgan Stanley. Please proceed.
Mark Savino - Morgan Stanley & Co. LLC: Hey, guys. It's Mark Savino on for Thomas. Just, I guess, my first question on the Southern Plains segment. The margins there were better than we had anticipated really for the second quarter in a row. So really wanted to see if there's anything specific you're doing in that segment to manage costs. And then just more broadly in the context of what appears to be better top line results, how we should be thinking about your ability to continue to grow margins from here? And then I have a follow-up. Thanks.
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Sure. So, yes, at Southern Plains, a lot of our more mature properties and competitive markets are in that region. So we've been very pleased with the results. Ameet Patel and our general managers in the region there have done a really good job operating, driving margins. And Mississippi has been particularly a good story for us this year. I think you've seen the state-wide results that the Gulf Coast, I think, up until June was on a track of about 10 months of growth year-over-year. Tunica since the Harrah's property closed down, we've seen improved results at our Tunica facility. And Kansas Speedway has been a fantastic story for us. And we've got some nice momentum in Missouri as well, both at Riverside and we're happy with the trends that we're seeing in our St. Louis facility, so really across the board. And the last one I would mention in that region is Joliet. One thing we have noticed in our competitive shopping is that the Harrah's property there and we're also seeing this in Kansas City, seems to be pulling back a bit on reinvestment at that lower worth segments of the database, which I think everyone benefits from because when you reinvest in that customer, it's unprofitable for all of the operators in that market. They pull back a bit. And I think everyone's benefiting from that. So it really is the confluence of number of factors for why we're seeing slight revenue growth and more importantly improved margins in that region.
Mark Savino - Morgan Stanley & Co. LLC: That's helpful. Thank you. And then just, sort of, a longer term strategic question for you guys. I mean, with Plainridge now open and once the Tropicana acquisition closes, obviously you have added some real estate back to your portfolio. So, over time, is it your intention to continue to rebuild some real estate holdings or is it more likely that you'd look to monetize that real estate over time?
Timothy J. Wilmott - President, Chief Executive Officer & Director: Those are all options, Mark, that we have in front of us. Our initial focus, as you can imagine, is to grow our Massachusetts business and realize the potential we see there, ramp up Tropicana Las Vegas, and continue to grow EBITDA there. So I think that question more is going to be three years to four years out to see where we are at that time, what other opportunities are out there, what our capital structure looks like. But, what I like about it, it gives us optionality to do a number of different things based on the opportunities we see that far down the road. So they're all things for consideration, and we just have to deliver on the results over the next three or four years to ramp up these properties that are not tied to the master lease agreement with GLPI.
Mark Savino - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Our next question comes from the line of Steven Kent with Goldman Sachs. Please proceed.
Steven E. Kent - Goldman Sachs & Co.: Hi. Good morning. Could you just talk a little bit about the Tropicana, in that you discussed that you might add another tower, and what would go into that decision? And over the next couple of months you said that the renovations or the first phase would be some renovations and then maybe some initial investment in getting the technology up to speed for Marquee Rewards. Can you just talk about those two items? So new tower and also the new technology and how those decisions are being made.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Steven, let me start and then I'll turn it over to BJ and maybe Jay about the long-term process. We have mentioned that we're looking at the possibilities of additional food and beverage offerings, entertainment offerings and the possibility of a hotel addition. That is something that is going to be determined three years or four years down the road after we have time to get our customers in the facility from around our regional markets. We don't have any preconceived notions of how that's going to play out. We're going to evaluate all of our different options; look at the impact of any capital expansion and what will it have on existing operations to make sure we can continue to take care of customers in an acceptable environment. So all of those decisions are going to be determined and nothing at this time is set in stone. BJ, I'll let you add any other comments you have on that.
William J. Fair - Chief Development Officer & Executive Vice Preside: No, I think that right now we're really looking to get a better understanding of exactly what the needs of the facility are. As Jay mentioned earlier, the integration of the IT systems to be able to get our marketing elements are probably one of the highest priorities. We're looking at the (33:28) prioritize the capital investment to make sure that we hit some of the infrastructure needs that we know that are necessary for the facility, but also we want to make sure that we're trying to do it in a phase plan to minimize the interruption to the guests and the operations. So I think that once we take control of the facility, we'll be able to get in there a little bit more, but our first priority as we take a look at the capital needs is really the integration of our systems right now.
Steven E. Kent - Goldman Sachs & Co.: Okay. And just as a follow-up, could we just talk a little bit about your social gaming initiative and what you're trying to do with that program. Is it to target younger customers? Is it to keep existing customers entertained and involved with your casino? And most importantly, is it a money maker or direct money maker for you?
Timothy J. Wilmott - President, Chief Executive Officer & Director: Steven, I'll let our head of digital gaming, Chris Sheffield, answer that question.
Chris Sheffield - Senior Vice President & MD-iGaming: Good morning. The strategy for the social games at this point in time is really to improve retention and acquisition of customers for land-based business as a sort of integrated approach. We're launching at Charles Town next week with the Scientific Games' product, and we're going to go into the mode of test and trials over next month or so. It'll give us a much better feel for engagement of customers with the product, and starting to look at things like average revenue per daily active user. And then, towards the end of August we're going to launch the mobile product. And at that point, we'll have a much better feel for how things are going to perform. We're pretty much, very much focused on the retention and engagement piece of the product and how it can help to build the land-based business.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Steven, the first launch with Scientific Games is really about retention of our customers and improved connection and loyalty with our existing casinos. We also see opportunities with other products that we're exploring to go after a new set of customers from an acquisition standpoint. We see opportunities in the fantasy sports arena to take advantage of that growing market. And as I said in my introductory comments, we'll also see down the road eventually, and we think it's going to happen state by state, there're going to be additional states that we have presence in that will commercialize digital gaming, and we want to be prepared for that as well. We clearly are going into this with the expectation over the next couple of years that this is going to be a growing and profitable segment of business that's going to add a new platform for us and be complementary to what we're doing with our existing 21 properties today.
Steven E. Kent - Goldman Sachs & Co.: Okay. Thank you.
Operator: Our next question comes from the line of Shaun Kelley with Bank of America. Please proceed.
Shaun C. Kelley - Bank of America Merrill Lynch: Hey, guys. Good morning. I think you've covered a lot of ground here, so I'm going to try not to entirely just beat the dead horse, but I did want to go back to guidance. Saul, I think you walked us through a little bit of the methodology on how you calculated the raise and you talked about, I think the question was asked about flow-through. But, I guess just to ask it more directly, is anything contemplated in your improved back-half outlook related to Plainridge or is it really just core same-store sales?
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: Core same-store sales, you said it nicely, Shaun. I think we've addressed second-half impact of Plainridge. We've talked about the seasonality trends. I don't think there's more to it than that.
Shaun C. Kelley - Bank of America Merrill Lynch: Perfect. And then the second one also hopefully equally brief would be on Jamul. So, with the budget increase, is that basically going to be reimbursed by the Tribe or is this sort of on Penn, given the way the contract or construction costs are agreed upon?
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: All of the construction costs go into the loan, which is part of the loan to the Tribe.
Shaun C. Kelley - Bank of America Merrill Lynch: Okay. So it is part of the loan and it would be reimbursed or repaid as part of that.
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: That is correct.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Correct.
Shaun C. Kelley - Bank of America Merrill Lynch: Got it. And then, I guess, my last question is on there's been some, I guess, some press out there about the State of Pennsylvania looking to possibly ban social casino from kind of land-based operations; and not entirely up on all of the headlines that seem to change every day. But, given that you guys are sort of making some strategic investments there, is that something you can kind of comment on in terms of how you see that evolving and impacting as you guys are looking to maybe embrace some sort of either crossover relationship with social gaming or little bit more of an Internet-based strategy. Can you just talk about that a little bit?
Timothy J. Wilmott - President, Chief Executive Officer & Director: Sure. I'll let Eric Schippers, our head of Public Affairs, answer that question, Shaun.
D. Eric Schippers - Senior VP-Public Affairs & Government Relations: Yeah, Shaun. We think that bill has a very low probability of success. And the focus of that bill was some misperception or concern over access to use of these products. And I'll let Chris speak to this a little bit, but we've been spending, Chris and I, a lot of time in Harrisburg talking about the realities of real money gaming and social gaming and who the customers are and the protections against youth being able to access these. Chris?
Chris Sheffield - Senior Vice President & MD-iGaming: Yes. And very much educating the politicians in Harrisburg and leaning on the experience initially from the U.K. and Europe but now from New Jersey as well where there's very strict controls in place proven that prevents minors from engaging in such activity and also prevents problem gambling. And I think we're having some success in proving that this area can be regulated very tightly and hopefully will generate profitable business in the future.
D. Eric Schippers - Senior VP-Public Affairs & Government Relations: So it's an ongoing education process. And just to take that a little bit further, there is a budget stand-off right now in Pennsylvania between the Governor and the Republicans. And we're hoping, our focus is on social gaming right now, but may be at some point we're hanging around the hoop for the opportunity that may be real money Internet gaming or another gaming opportunity might come out of the ongoing budget impasse there. So, a lot to be seen what happens in Pennsylvania, but we're closely monitoring.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Yeah. I would say, Shaun, I think there's more lawmakers here in Harrisburg that are interested in the revenue potential of all of these different options. And I think it's very difficult to predict. We don't expect anything happening in 2015, but we've been encouraged by the hearings that we've participated in, in and around the State of Pennsylvania that there's more of an appetite to consider these options than there ever has been.
Shaun C. Kelley - Bank of America Merrill Lynch: Great. Thanks, guys. Nice quarter.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Chad Beynon with Macquarie. Please proceed.
Chad Beynon - Macquarie Capital (USA), Inc.: Hi. Thanks for taking my questions. First one, Chris and Eric, maybe back to around fantasy sports, kind of, same question. Do you believe you can compete in this market given the significant marketing costs that are needed to become a big player; and also the guaranteed tournaments? We recently saw Yahoo get into the market, and apparently, they fell short on hitting the minimums for one of their guaranteed tournaments. So if you could, just talk about your expectations and timeline getting into fantasy sports.
Chris Sheffield - Senior Vice President & MD-iGaming: Again I see fantasy sports as being a kind of tool for helping to improve retention and acquisition of customers. We know from some of the surveys that we've done that around 42% of people that play daily fantasy sports games are also casino customers as well. So, there's a lot of synergy between the two products. We have sports bars at a lot of our casinos as well. So, really again, looking at a very similar strategy to the social casinos using these as a way of having more engagement with our customers and being out there hopefully accessing different customer groups as well, and really all about retention and building loyalty of that customer base.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Yeah. We don't see ourselves as a competitor for FanDuel or DraftKings, by no means. But we certainly think we can take advantage of the millions of relationships we have with our customers today and expand upon those relationships through new offerings in this space, but not at the scale of those two companies and what they've done and how they're spending to try to continue to grow share.
Chad Beynon - Macquarie Capital (USA), Inc.: Okay. Thanks. And then a medium-term question now that you have or that you will have a Strip property, and you mentioned the hub-and-spoke term, does this change how you think about acquiring more regional gaming properties now that you have a destination anchor? And would you have the financial flexibility given your coverage ratios when you take up the leverage with the Tropicana acquisition?
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: Listen, if you look out in our next couple of years you'll see that before any additional acquisition activity, our leverage ratios begin to reduce significantly over the next 24 months to 36 months which will provide us with more than ample capital to take advantage of opportunities. You are right; we will continue to look for acquisition opportunities throughout the regions in order to provide additional access to the Strip property. That's exactly a strategy we'll pursue.
Timothy J. Wilmott - President, Chief Executive Officer & Director: I don't think, Chad, this restricts us at all. And we'll continue to look at other regional gaming opportunities. It certainly gives us top spin when we look at deals that we have the play to move that customer to Tropicana Las Vegas, but we'll still be very disciplined in our evaluation of how we look at regional gaming opportunities and look at it primarily as its performance at that local level. And as I said, anything on top of that is just top spin for us in Las Vegas.
Jay A. Snowden - Chief Operating Officer & Executive Vice President: The only thing I would add, Chad, is that we raised approximately 64% of our total business today, and we think there's an opportunity to get that up to 75% to 80%, which, obviously, the more – we can build the database even with our existing properties and send the right customers the right offers to visit Tropicana Las Vegas. That's certainly a priority for us.
Chad Beynon - Macquarie Capital (USA), Inc.: Okay. Thank you all, and congrats on a nice quarter.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thanks.
Saul V. Reibstein - Executive Vice President, Finance, Chief Financial Officer and Treasurer: Thanks.
Operator: Our next question comes from the line of Kevin Coyne with Goldman Sachs. Please proceed.
Kevin Joseph Coyne - Goldman Sachs & Co.: Hi. Thanks for taking the questions and congrats on a nice quarter.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thank you, Kevin.
Kevin Joseph Coyne - Goldman Sachs & Co.: I was just wondering with the Mahoning Valley, can you give us a sense as to where the visitation is coming from; let's say what percentage is from Ohio versus Pennsylvania?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: Sure. Kevin, this is Jay. The lion's share is coming from the state of Ohio; within a 30-minute drive of the facility there, Greater Youngstown, to a lesser extent, Canton and Akron. We're pulling business and actually getting a little bit more aggressive in those markets. We think we can penetrate more successfully than we have. You get a little bit from the -as you get toward Erie, Pennsylvania in the northwest part of the state, but again the lion's share is certainly coming from the state of Ohio.
Kevin Joseph Coyne - Goldman Sachs & Co.: Great. That's helpful. Thank you. And to stick on the visitation question, I know it's early days at Plainridge, but has anything surprised you with your visitation demographics in terms of are you drawing from areas further away or from areas you didn't think you'd draw from?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: I would characterize the first week is great from everywhere, right? You're pulling from not just Massachusetts and Rhode Island, but you get curious people from Connecticut, New Hampshire, Vermont and the like throughout New England. The last few weeks as the business has started to settle in the majority of the business is coming from Massachusetts, but we also believe we've got an opportunity to penetrate Providence successfully and we're seeing double-digit percentage of our business come from the Providence area and we think it can grow from where it is today. So, no real surprises. We've been pleasantly surprised as Tim alluded to earlier. The high-limit play has been very impressive and we're looking to expand our high-limit offerings, which is always a good indication.
Kevin Joseph Coyne - Goldman Sachs & Co.: Great. And just one final one on Plainridge. I think you said that you were seeing demand for video poker and may add some machines there. When you – I know in the past you've done a great job in terms of redeploying machines from one market to another to balance demand. Would you expect to buy new machines to meet that demand or would you repurpose?
Jay A. Snowden - Chief Operating Officer & Executive Vice President: We can pursue either option and we can certainly convert machines that are there today, which is what we're doing with our initial efforts to add some video poker products, is converting some underperforming video reels to video poker. But we have many options if we want to continue to expand the video poker offerings at Plainridge.
Kevin Joseph Coyne - Goldman Sachs & Co.: Great. Thank you.
Operator: And Mr. Wilmott, there are no further questions at this time. I will now turn the call back to you. Please continue with your presentation or closing remarks.
Timothy J. Wilmott - President, Chief Executive Officer & Director: Thank you, operator. Again, thanks, everyone, for listening to our second quarter 2015 earnings conference call. As Jay said, I'm certainly very pleased with the performance of our operations and want to also acknowledge the work of our management teams out there for delivering these results. And hope – and fully expect that we're going to have much more news about Tropicana Las Vegas, Plainridge and also our efforts in the digital gaming space as we meet again about three months from now and talk about our third quarter results. So, thanks, and more to come.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.